Heinrich Richter: Good morning, and welcome to Gemfields 2025 Half Year Results Shareholder and Investor Webcast. Sean Gilbertson, CEO; and David Lovett, CFO, will present Gemfields' financial results to the end of June 2025. At the end of the presentation, we will go into Q&A. [Operator Instructions] Before we start, please take a note of the important information in our disclaimer on Slide 2 with a full disclaimer in the appendix. And with that, I'll now pass you on to Sean to start on Slide 3.
Sean Gilbertson: Good morning, and welcome. Thank you very much for joining us this morning after what has been a seriously challenging first half for Gemfields. MRM experienced lower premium ruby output, while Kagem suspended mining altogether at the end of 2024 with only limited operations resuming again in May of this year. The beginning of the year was also marred by civil unrest in the wake of Mozambique's disputed general election and of course, the surprise implementation of the 15% export duty on emeralds in Zambia. Both of those issues are now thankfully resolved. These factors, combined with Chinese luxury consumption effectively being offline, contributed to cash flow pressures and certainly tested both our team and our business. With thanks to the strong support from our shareholders for our June rights issue, followed after the period end by the sale of Fabergé for a headline $50 million, we have a considerably improved balance sheet. Significantly, our new processing plant in Mozambique produced its first rubies earlier this month and is expected to be fully operational next month in October. We also reported earlier this month the remarkably strong results from Kagem's auction of higher-quality emeralds, which was a pleasure to see. And as a result, we are now on a sturdier and more optimistic footing for the year ahead. Moving on to Slide 4. It's important to note that with the suspension of the Nairoto gold project and the divestment of Fabergé, we are now better able to focus on our long-standing core strategy of being an Africa-focused miner and marketer of emeralds, rubies, and hopefully, at an appropriate point in the future, sapphires. At this point, I'll hand you over to David for an update on the financials. David?
David Lovett: Thank you, Sean, and good morning, everybody. Starting on Slide 6, we will work through our 6 key financial KPIs across the past few years. Starting on the left-hand side, you can clearly see the challenges, as Sean has mentioned, that we've seen in the first half of the year and the impact that has had on the revenues. The group generated $64 million of revenue in the period, which is materially down against H1 in 2024 and H2 in 2024. Kagem contributed $21 million of the $64 million with MRM bringing in $39 million. The rest is down to direct sales. Please note that Fabergé revenues, which were $6 million in this period are not included in here. The Fabergé results were moved to discontinued operations in advance of the sale. Operating expenses in the middle of this slide are down slightly at $69 million. That is primarily based on Kagem's pause in mining between January and May in this period. If we combine the revenues and the operating expenses, we see an EBITDA loss of $4.9 million in the period. We can move to Slide 7, please. Here, we have some more of our financial KPIs, starting on the left-hand side with adjusted earnings per share, where we saw a loss of $0.015 per share when taking into account depreciation, interest costs and taxes. In the middle, we have free cash flow, where we saw a loss of $22 million in the period. This is largely based not only on reduced revenues, but also on the continued investment into PP2, the new plant at MRM. We are now coming to the end of that project, and we are past peak CapEx. We will come back to peak CapEx later in the presentation. Finally, on this slide, we have Gemfields' net debt position at 30th of June, which was $45 million. Again, we will come back to this later in the presentation. We'll now have a look at expenditure in more detail, starting with operating expenses on Slide 8. The OpEx savings seen in H1 are largely due to savings at Kagem as we paused operations between January and May. Development projects have also largely been paused with corporate costs seeing a small increase due to fees in relation to the capital raise. OpEx remains a significant focus for management. But with Kagem resuming mining operations, we should expect an increase in OpEx at Kagem and at the group level in H2. We'll now have a look at CapEx with particular focus on the new plant at MRM. Moving on to Slide 9. You have Kagem on the left-hand side and MRM on the right. Kagem has seen very little CapEx in 2025 based not only on financial constraints, but also the pause in mining. Whilst we don't expect Kagem to return to the levels seen in 2023, we would expect sustaining CapEx to increase against the current levels moving forward. MRM on the right-hand side has seen significant investment in the new plant, and that can clearly be seen in the graph. The orange bars are the expansionary CapEx. We are, as we mentioned, past peak CapEx now. There is approximately 10% due in the second half of this year moving into next year on the contract with consumer, and we'll have a look at the progress on the next slide and then later in the presentation. If we start with the financials of the plant, which is the bottom of this slide, as I mentioned, there is approximately 10% or $7 million left to pay. The final payment may run into 2026 based on progress over the next 6 months. In terms of operational updates, we are pleased to say that rubies have been produced and all key components of the plant are now operational. There are, however, ongoing delays in final completion, particularly SCADA integration, but we expect a fully operational plant by the end of October 2025. As we have mentioned previously, there is a significant stockpile of ore to be processed and ready to go. So once the plant is fully operational, we expect to be able to feed it, and we expect to see significant increases in the quantity of rubies produced. We can now have another look at the net debt position over the history of Gemfields on the next slide. As discussed earlier, we are currently sitting on a net debt position of $45 million. This has improved since December, thanks largely to the rights issue and will continue to improve with the proceeds from the sale of Fabergé and the recent emerald auction, but we have a way to go to get back to a solid net cash position. The cyclical nature of the business can clearly be seen with the yellow dotted line here, which shows your net debt or net cash with auction receivables. But it should be noted that Gemfields has only recently returned any funds to shareholders, which totaled $90 million between May '22 and June 2024. Finally for me, we have a slide on the rights issue, which completed in this period. The $30 million rights issue was completed in June with 82% of our shareholders taking up their rights. We would like to take this opportunity to thank shareholders for their understanding and support throughout this challenging period. I will now hand you back to Sean to run through the operational review for the first half.
Sean Gilbertson: Thank you, David. On Slide 14, we reiterate that Gemfields is after the suspension of peripheral projects like the Nairoto Gold project, completion of the June 2025 rights issue, and the divestment of Fabergé, a more streamlined business and has a markedly improved balance sheet, allowing us to focus on optimizing value from our core assets at both Kagem and also MRM. On Slide 15, we set out the key driver of our revenues being the production of gemstones in the premium quality category. As can be seen by the red lines for 2025, Kagem's premium emerald production has been hammered by the suspension of mining during the first 5 months of 2025. That said, the recent very encouraging auction results serve to inform the market that production since the 30th of June 2025 has recovered very nicely indeed, feeding into Kagem's recent happy auction results. Moving east to Montepuez Ruby Mining in the north of Mozambique, we can see that premium ruby production has recovered very nicely. However, because the majority of these premium rubies, which hail from secondary deposits rather than primary deposits come from newer mining areas at MRM called Maningina-5 and Maningina-6, which display higher fluorescence, lighter tones and a higher proportion of pink sapphire, the jury is still out as to what medium-term market perception will be like. Slide 16 shows our production of gemstones in the next tier down from those in the premium category. These gems constitute a far lower percentage of revenue when compared with the premium category gemstones. As can be seen, Kagem has been lagging behind in the first half as a result of the suspension of mining activities during that time. And MRM is tracking well, but with the same caveat surrounding gems from Maningina-5 and Maningina-6, which have different characteristics to our rubies from the Mugloto area and are thus not yet proven in the market. On Slide 17, while our auction schedule remains dynamic depending on market conditions and available production, we hope to have 3 further auctions this year. The first is a ruby mini auction, which kicks off on Monday of next week and completes in the same week. The second is a commercial quality emerald auction likely finishing in early December. And the third is the regular November, December year-end ruby auction, although this depends on the ruby production figures we see in the near term and completion of the second processing plant. Slide 18 depicts the final construction phases of the second processing plant at MRM, showing here the dense media separation plant and its surge bins, a good illustration of the sheer scale of this plant. Slide 19 depicts the wider overview of MRM's second processing plant, an investment that has cost the group some $70 million. At the far left is the very large circular thickener and [indiscernible] unit. At the top of the image is the tunnel feeder, which feeds dry screen material to the primary scrubber. And on the right-hand side is the scavenger plant clad in green, replete with UV sorters to triple check that rubies have not been missed after concentrate is passed through the sort house. This project is a very exciting and hard-won development for MRM, and we send praise to the team at MRM with a lot of gratitude for delivering a very complex project in particularly trying circumstances over the last 2 years. On Slide 20, we summarize our ambition that the recent strength in emerald prices will yield a solid commercial quality emerald auction results in the fourth quarter of this year. We also note that the ramp-up in MRM's second processing plant is expected to materially bolster ruby revenues over the next 6 to 12 months. In summary, having enjoyed a particularly challenging first half in 2025, Gemfields is in a markedly better position than it was 6 months ago and has much to look forward to given the improvement in the emerald market and the imminent final completion of MRM's second processing plant. I'll now hand you back to Heinrich.
Heinrich Richter: Thank you, Sean. [Operator Instructions] The first question received is as follows: What are production expectations at MRM in H2 2025? And what will the ramp-up look like in 2026 when at full capacity? Any guidance on expected premium ruby production?
Sean Gilbertson: Thank you very much, Heinrich. Obviously, one of the difficulties in our business is the nature of our geology where we do experience 2 types of volatility. The first is in the number of carats per tonne of ore, that goes up and down. And the second type of volatility is in the actual quality of those carats. Obviously, we've built MRM specifically to increase markedly the ruby production at MRM. But with that plant being completed during the course of October, it's too early for us to start predicting precisely what kind of rubies we're going to get. And of course, we are also processing ore from the newer areas. So I hesitate to start making forecasts before we have a couple of runs on the scoreboard.
Heinrich Richter: Understandable. Next question is, how much of the good result from the recent emerald auction is down to the lack of recent sales and pent-up demand?
Sean Gilbertson: So good question. Thank you, Heinrich. We obviously had a really fantastic auction result for higher-quality emeralds this month. And we would say that the key driver for those results lay in the quality of the emeralds that we were able to put before our customers. So that would be the overwhelming contributing factor.
Heinrich Richter: Understood. Moving on to the next question. Once cash is being generated again and a buffer built, how will it be allocated between M&A, dividends or other projects? Any steer on this would be a good thing.
Sean Gilbertson: Thank you, Heinrich. In short, our principal objective right now is to bolster the balance sheet. As David indicated, we're still in a slightly net debt position. And so capital allocation will be tailored towards improving the balance sheet situation. And we would suggest that in 2026, we'll focus on doing that and the chances of a dividend, therefore, I think, are muted.
Heinrich Richter: On to the next question. Why have you sold premium investment in Fabergé, thereby creating an even less diversified business, but you are holding on to your investment in Sedibelo?
Sean Gilbertson: Good question. In short, wholly owned premium investments like Fabergé are far easier to sell than small minority interests in fairly difficult platinum deposits. I'm personally very sad to see Fabergé sold. But given all the uncertainty in the world today and the many surprise challenges that we've endured over the last 12 months, we needed more fuel in the tank to guard against the risk of other things going wrong. So unfortunately, we literally had to sell the family silver.
Heinrich Richter: Next question that came in. What is the latest strategic developments been at your emerald competitor in Zambia, who flooded the market last year? Have they been more disciplined in supplying the market of late? And what is your expectation in this regard going forward?
Sean Gilbertson: Very important question. We certainly struggled with that during the second half of last year. Our competitor is, in fact, presently running an auction in Dubai. And based on what we've seen so far this year, we would describe the situation as somewhat alleviated and definitely better than what we saw in H2 of last year.
Heinrich Richter: Understood. Next question, how many auctions will it take to establish the value of the new qualities of rubies?
Sean Gilbertson: Good question. We had a similar experience with the introduction many moons ago when MRM first started of the Mugloto material. We actually started MRM by mining primary rubies in the Maninginas area, whereas these newer rubies that we've been talking about today come from secondary deposit areas in Maninginas. But when we moved from the primary deposits in Maninginas across to Mugloto, we did see that it also took the market some time and a few auctions in order to understand the Mugloto material, cut and polish it, sell it to customers, see what the market reaction is like. So in order to give an estimate, and there's a degree of judgment here, of course, and perhaps some subjectivity. But I would estimate anywhere between 3 and 5 auctions would give the market a good opportunity to understand what the material does.
Heinrich Richter: Understood. Moving towards the longer term, do you foresee any threat from synthetic gems now or in the future?
Sean Gilbertson: Excellent and important question. That's one that we get a lot. And I am very pleased to advise that it is actually a movie that the colored gemstone industry has seen before. And lab-grown rubies were first created via the flame fusion process in 1890, not 1990, but 1890. And if you Google Geneva rubies, you will find the entire story. And by -- I think it was 1910, they were producing something like 3 tonnes a year of lab-grown ruby. And of course, as we're already seeing in the diamond business, the ruby market back then bifurcated very seriously. And as the lab-grown rubies became better and better, bigger and bigger and cheaper and cheaper, they obviously became a very different product category. And today, you can buy a lab-grown ruby on various online platforms of some size for a few hundred dollars whereas the ruby, the natural earth made ruby equivalent would cost you tens of thousands, if not hundreds of thousands of dollars. We saw the same thing happen some decades later in the emerald business. And so this is kind of very old news as it were for the colored gemstone market. And I'm pleased to say we've transcended it well before I was born.
Heinrich Richter: Understood. Now on to a technical question. Does MRM's depreciation and amortization charge reflect the 5 years' life of mine?
David Lovett: Thanks, Heinrich. So in short, yes, it does. I believe this question stems from the significant amount of CapEx and therefore, the capitalized costs of the new plant coming online later this year. That is something we are reviewing with our auditors to find a sensible way of accounting for that increase as a short life of mine does mean you may see very large charges going through. And so we will -- currently, the answer is yes. Hopefully, by the year-end or certainly moving into next year, we will have a slightly different way of accounting for that capitalized cost.
Heinrich Richter: In terms of ERM, when will Gemfields restart that program?
Sean Gilbertson: Another good question. Thank you, Heinrich. So we do have a team on site at ERM at the moment. Obviously, they spend quite a bit of time looking after the wider deposit and guarding against illegal miner entry. And we are also conducting basic geological work, including sampling, processing through Bushman jigs and getting a better understanding of the ruby profile and the size distribution and so forth. We are not yet in a position where we are going to make a further investment in, for example, a plant at ERM, which ERM would need, certainly not of the scale of the one that we've just built at MRM. And therefore, we're going to continue with the ERM as per the status quo, namely basic geological work and looking after the license area. So certainly a notch above care and maintenance, if you will. And depending on how 2026 goes, what we see in the emerald market, what happens with our ruby revenues, we will take a view as to what the correct point is to move forward with the ERM.
Heinrich Richter: Staying in Mozambique, did the first half disturbances at MRM affect production? And if so, do you know by how much?
Sean Gilbertson: We don't have a specific figure that we can point to. But yes, certainly, our production was affected in December of 2024. The market may recall, we actually did have to close down the mine for a period after we evacuated following the civil unrest attack. And in the wake of those disturbances, the number of illegal miners that were coming on to the concession for probably the first 90 days of this year ran in the order of 800 to 1,200 people and per day, that is, and that was certainly very disruptive to our operations.
Heinrich Richter: Understood. And sticking with MRM, diving a bit deeper, what are the expectations of production costs with the increases at MRM when production triples? Will there be efficiencies?
Sean Gilbertson: Yes is the answer. And those efficiencies should be material. And obviously, our unit costs, both in terms of the production of premium rubies and overall carats and of course, our total rock handling unit costs should come down significantly.
David Lovett: Just one thing to add there as well, Heinrich. I think it's worth investors being aware that we are currently in discussions around possible contractor mining as we ramp up things at MRM. So that would have an impact. We don't have those quotes in front of us at this point, but we will update the market as and when we have a better idea of cost increases. .
Heinrich Richter: Understood. Turning to Kagem. With the recovery of the emerald markets, can some of the recent impairment at Kagem be reversed?
David Lovett: So in short, yes. We made the decision. So there is headroom, significant headroom at the interim period when we reviewed that project. We made the decision that based on effectively 1 auction and 2 months of mining, it wasn't the right time to do it. We'll then have another look at the year-end with the auditors to see where Kagem is, but that write-back is certainly possible. It's a question of timing and how confident we are that the market has truly recovered rather than a one-off good auction. .
Heinrich Richter: Thank you, David. [Operator Instructions] I'm moving now on to the last question on my feed. Do you have any imminent activity that would enable a value and time line to be placed against Nairoto's licensing prospect given the present gold market and its potential scale?
Sean Gilbertson: We have recently received an updated report from SRK based on the last set of drilling and assay results before we shutted the project. And the bulk of the gold mineralization that was in the inferred category has now shifted across to the indicated category in the JORC Code, which is obviously an increase in confidence. And we have essentially identified an economically mineable gold deposit for a specialist gold mining company. We identified only one of the en echelon lenses that these types of deposits are known for, and there should be further en echelon lenses containing gold mineralization, but that is work that somebody else is going to have to do. We have a number of parties that are potentially interested in the Nairoto Gold deposit. However, it is located well to the north of Montepuez Ruby Mining in Cabo Delgado province, and therefore, it is a fairly tricky jurisdiction for most mining operators to set up operations and then conduct their activities. So that's a difficulty that we're addressing at the moment, but we'll obviously keep the market updated to the extent that there's anything to say.
Heinrich Richter: Well understood. And with that, we have no further questions. We'd like to thank you all for joining us this morning. If you have any further questions or would like to speak one-on-one, please reach out to us at ir@gemfields.com. Enjoy the rest of your day. We will close the call now. Thank you, and goodbye.